Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2017 First Quarter Results Conference Call. During the presentation, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and a replay will be available on Barrick's website tonight April 25, 2017. I now like to turn the conference over to Kelvin Dushnisky, President. Please go ahead.
Kelvin Dushnisky: Good afternoon and thank you for joining us. Before we begin, I'd like to highlight that during this presentation, we'll be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. A review of our most recent AIF will provide you with a more complete discussion. I'm here today with our Chief Financial Officer, Catherine Raw; and our Chief Operating Officer, Richard Williams. Also joining us are Bill MacNevin, CEO of Barrick, Nevada; Henri Gonin, General Manager of Turquoise Ridge; Greg Walker, Executive General Manager of Pueblo Viejo; Jim Whittaker, General Manager of Lagunas Norte; and Jorge Palmes, Executive General Manager of Veladero. As has become our practice, our other General Managers and members of the Barrick team will also be available for questions following the formal portion of the call. This morning at our annual general meeting, I discussed the strategic priorities we developed in 2017 that underpin our efforts and continue to create long term shareholder value. I would like to touch on them briefly again. The first priority is to continue to maximize free cash flow and target free cash flow generation and gold price at a $1000 per ounce. Second, we will maintain our discipline as we prudently invest capital in the business and continue to optimize the long term value of the portfolio. Debt reduction remains a top priority and at the end of 2018, we intend to reduce our total debt to $5 billion and we plan to be half way there by the end of this year. Fourth, we will continue our commitment to operational excellence. A good example of this is the step change we are making in Nevada with the unification of the Cortez and Goldstrike mines. By fully integrating these operations, we expect to see significant productivity improvements and to accelerate the digital transformation into that. Of course none of our authorities for the year will be possible we did not have the right people in the right place. So our first priority is to continue an intensive focus on talent development in 2017, developing our leaders to be the best in the industry. During the first quarter, we made good headwind in each of our priorities. Our operations generated $495 million in operating cash flow, an improvement over the prior year quarter, and $161 million in free cash flow based on production of 1.31 million ounces and all-in sustaining cost $772 per ounce. Free cash flow was lowered than the prior year period, which reflects a higher budget in capital spending in this quarter. We continue to strengthen our balance sheet and reduced debt by almost $180 million this quarter. And we announced two new partnerships to further optimize our portfolio. In March, we established a joint venture with Goldcorp on the Cerro Casale project, and more recently we announced a transformative strategic partnership with Shandong Gold Group in Argentina. I will speak more of this important relationship in a minute. Full-year production guidance has been updated principally to reflect the anticipated sale of 50% of Veladero, which is expected to close at the end of second quarter, and also to reflect the recent situation at Veladero, which has resulted in a temporary restriction of the addition of cyanide in the heap leach facility. On March 28, a coupling on a pipe carrying gold-bearing solution to the heap leach facility failed. Although the situation was contained with mistake and did not result in any impact to people or the environment, this is obviously not acceptable. We are now reviewing with government stories at comprehensive plan to help mitigate the inspection and it shouldn't happen again. Richard will speak to you in more detail on this during his presentation. As I mentioned, four partnerships is a core element of our strategy to grow free cash flow over the long-term. This underpins our new strategic relationship with Shandong. These two partnerships involve three steps. Step one, Shandong will require 50% of Veladero and $960 million and will collaborate to maximize long-term value of the mine. In step two, Shandong will work with Barrick to explore the potential for investing in and jointly developing the past Pascua-Lama project. To add to this, Shandong will embed a team of underground mining engineers and project development specialists with our Pascua-Lama project team. Step three; both companies will evaluate additional investment opportunities on the highly prospective El Indio Gold Belt, which holds the customer cluster of whole low class mines and projects including Veladero, Pascua-Lama and Alturas. We also announced the Cerro Casale joint venture with Goldcorp. Under this agreement Goldcorp have purchased 25% interest in Cerro Casale from Barrick resulting in 50-50 joint venture between our companies. As consideration, Goldcorp will fund Barrick's first $260 million of expenditures, Barrick fund, and will spend an equivalent amount on its own behalf for a total project investment commitment of $520 million. Separately, Goldcorp entered an agreement to purchase Exeter Resource Corporation, whose sole asset is the Caspiche Project, will be contributed to the JV. 50% of this acquisition cost incurred by Goldcorp will be divested from the $260 million expenditure commitment just mentioned. So as you can see it has been a very busy quarter and now I will ask Catherine to take you through our Q1 financials.
Catherine Raw: Thank you, Kelvin. Briefly I will go through the results of the quarter. We delivered earnings per share for the quarter of $679 million or $0.58 per share, largely due to the $1.125 billion of impairment reversals, 522 million net of tax and non-controlling interest relating to an increase in carrying value of Cerro Casale following the announcement of the deal that Kelvin has just got into. Adjusted earnings were $162 million or $0.14 per share, an increase of 27% in the same period in the previous year, primarily due to the impact of higher gold and copper prices, were partially offset by 8% higher depreciation, a 36% increase in exploration and evaluation costs, and a 2% increase in direct mining costs. Q1 operating cash flow came in at $495 million, up 10% year-on-year, primarily as a result of the highly gold and copper prices. This delivered free cash flow defined as operating cash flow less capital expenditures of $161 million, and 11% reduction versus the same quarter last year. This reduction was primarily driven by higher capital expenditures and a higher working capital build. As Kelvin mentioned earlier, disciplined investment is a priority for Barrick, and as guided to at the start of the year we are reinvesting in our business to sustain the strong free cash flows in the future. The generation of free cash flow is the core overarching objective of Barrick. Now, if we look at our cash flow variance year-on-year in more detail, the largest contributor to free cash flow has already said to earnings was higher realized gold and copper prices. Our realized gold price was 3% higher year-on-year $12.20 an ounce, such as $11.81 in the previous year. Our realized copper price was up by an extremely the 27% to $2.72 per pound for the quarter. The largest attractor versus Q1 2016 was a planned increase in capital expenditures. The increase of $64 million compared to what was our lowest capital quarter of 2016 and with the results of a planned increase in mine site sustaining capital expenditures of Barrick, Nevada relating to higher capitalized stripping cost and the timing of the larger number of mine site sustaining projects in the current periods versus last year, as well as greatest spending relating to leach pad development to Veladero. Unfavorable working capital movement reduced free cash flow by $35 million. This outflow was the result of increasing short-term VAT balances across number of sites including Acacia, inventory build that [indiscernible] due to the export bond and an increasing stockpiles at Pueblo Viejo. And now to the balance sheet, we ended the quarter with $7.75 billion of debt, down from $7.93 billion at the start of the year. We’ve paid down $178 million over the quarter, mainly due to maturities in the quarter as well as in advanced payments towards our project finance loan at Pueblo Viejo. The sale of 50% of Veladero and the expected proceeds of $960 million will help us to achieve our target of reducing our total debt to $5 billion by the end of 2018. With that, I will hand over to Richard.
Richard Williams: Thanks Catherine. Before I get to the Q1 highlights, I just want to provide some details on the recent 28 March incident at Veladero. On that date, the integrated and remote operating center based on [indiscernible] help test to detect the rupture of a pipe in the leach pad, and asked the team down there to immediately take the necessary actions to contain the solution into the operating site, meaning there was no impact for the environment or communities or our workers. As a result of the incident however, the San Juan one authority ordered a temporary restriction on the addition of new cyanide until remediation is completed. We are continuing mining however on stacking. In response to that and with some support the team at Veladero has presented holistic and long-term plan of partnering with the government to remediate and develop the operation going forward. This is with a focus initially on the re-engineering of the leach facility, slight adjustment to our ongoing plan, together with other dimensions, which deliver affect such as community relation, integrated communication, investments and other changes on the ground. These measures for instance include the construction in certain areas of additional containment barriers beyond the existing burn at the mines heat leach pad area. On the side site, we are relocating, replacing, and upgrading piping and leach pad and in particular the process solution bearing pipes that failed are going to be rebuilt, reinforced, and moved to the centre of the leach pad and replaced with new 7 centimeter thick high-density polyethylene pipes. To this we are adding new valves to the system to better control the flow of the processing solution and we are increasing the intensity of management and supervise your resources at that point. In addition, I am doubling up on what we’ve discovered to be a successful addition, and to be just transparent as possible, we are adding new high definition cameras to monitor the leach pad and other areas of the operation remotely. New cyanide addition, we are targeting to be subject to regulatory approval in June and we will continue to update our shareholders on this matter. Now onto the first quarter operating highlights. First, and as always we talk about keeping people safe. And unfortunately on 5 February 2017 this year, we lost one for contractors Williams Credo [ph] working high up on the transfer site, leaving behind his partner Carolina and three children. A tragic event, which we regret deeply. Notwithstanding this, and in part because of this, we continue to drive forward on our efforts to keep people safe and we use as a measure of our performance, the total recordable injury frequency rate. Death this year a tolerance of 0.4 to all our operations and year-to-date we were at 0.36 and targeting 0.32. Now onto production, we produced 1.31 million ounces of gold this quarter, which is within 2.2% of our original plan at a cost of sales of $833 an ounce. The all-in sustaining cost in this first quarter was $772 an ounce, which again is slightly better than we originally planned in high CapEx quarter relative to production, and this was possible given by our focus on cash cost delivered through the best-in-class efforts. Copper production for the first quarter was 95 million pounds, now compared to the same year - same period last year, primarily due to lower production in Lumwana as a result of lower tons processed combined with lower grades. Basic, the copper in the quarter was $2.19 per pound as you can see in front of you. On to guidance. We have decreased our 2017 gold production guidance to 5.3 million to 5.6 million ounces from its previous range. A significant portion of this reduction is attributable to the anticipated sale of 50% of Veladero, as Kelvin has already outlined, which is expected to close at the end of the second quarter. This guidance also assumes the resumption of normal processing activities in the timeline I outlined before in June, a core subject to further inspections and approvals. Now on to capital, we expect sustaining capital expenditures to remain in the range of circle $1 billion to $1.2 billion with project capital expenditures on top of that to be $250 million, or $300 million respectively. As you can see in front of you, as a result we expect total capital expenditures to remain within the same range of $1.3 billion to $1.5 billion this year. And this range assumes expected savings from our improved capital management program which is constant and ongoing. Operational excellence, while given, as you have heard us say a number of times, our enduring emphasis on continually improving the plan, I remain very excited about the returns on our investment in our operational excellence area. We have been improving productivity in Nevada and have completed the unification of Cortez and Goldstrike, a goal great step change in organization. And this has helped Bill and his team expedite the implementation of our digital transformation. Just as one small example of this, we have overhauled our short interval control programs allowing us to reorganize blasting between shifts, adding up to 7 hours a week. These and multiple other efforts all add up significant changes in productivity and in cash cost improvement, and is just the start. We continue to search in a longer term for innovative ways to transform our business. We hosted hackathon back in March where we hosted under Michelle Ash’s guidance a 100 student entrepreneurs and scientists to come up with ideas for two challenges we are currently facing. One challenge sort to ways - new ways to detect, track, and optimize maintenance work at Barrick mines and the other ask teams to develop innovative tools to consolidate exploration data from multiple sources. The results were inspirational and potentially transformative on a great model for going forward. And we intend therefore to sponsor up to five of these a year as we look out with to find new ways to solve our operation and efficiency challenges. We are rolling out two remote operating centers where site activities will be monitored from as the first step. Barrick Nevada team operated by the means of an analytics to unified operating centre [indiscernible] with the capacity to get data, analyze it and use real-time information to unify our business functions to make informed and anticipate decisions that produce risk and improve our business relentlessly driving transparency, which relentlessly drives performance. The other incidentally is more advanced and I referred to it a minute ago, it is in our Argentina Centre [indiscernible]. We are delighted to be hosting a mine tool fuel in June where you can come to [indiscernible] to see this phase of digital Barrick in action. We will be hosting a two-day tour there where you will be seeing Barrick, Nevada, the gold mine, potentially our software engineering facility, Cortez, Goldstrike, and our new analytics and unified operating centre. As Kelvin outlined at the start, our fifth strategic priority is talent development, underpinning everything in fact. We couldn't achieve any of these former priorities, number 1 to 4 without having the right talent in the right places. As we have mentioned a number of times developing our greatest asset, our people is vital, and our goal is to recruit, manage, and motivate such people to exceptional standards. Taking account of new technology we are leveraging digital and social networks to fund and attract such talent with a focus on digital skills needed to transform our business over the short and long-term. And we continue to expand the strategic veterans programs to attract highly specialized and suitable individuals that have identified over 200 veterans within our company that are already making a difference. To support our talent and strategy in this strategy we develop the Barrick Learning Academy to support a streamlined learning experience for both operators, maintainers, and salaried professionals; two unique but interrelated groups across the company. Our learning delivery methods are being upgraded to include a wide range of course types from on demand to in person based on individual needs reinforced with learning categories and course topics that amount to individual level and role. Overall is to reinforce our best-in-class support for internal talent development. We’ve practiced that it will improve everything across the business over the long term. It should be no surprise to anybody listening to this call that our investments in this area in Argentina is one of the key pillars of our go forward transformative plan. I will now turn over to Bill MacNevin for his details.
Bill MacNevin: Thanks Richard. Barrick, Nevada just past the 60 day mark and is progressing well. We are accelerating value capture or working as a united business. We have consolidated capital master schedule, enabling a holistic review of capital sustainment. We are aggressively pursuing value engineering opportunities, complete our capital projects in scope with less spend. On paper of the cornerstone of our business and we have mobilized talent to our greatest need and opportunities. Specifically, we have seen experience mainly with technicians from Goldstrike to Cortez enabling knowledge transfer and up skilling our technicians. Our more and rescue teams have been ready in the event of an emergency. We have dedicated teams emerging and operating as well. We have kept showing opportunities with urgency. Last week we started blasting of the Cortez open pit which should change. This will increase truck utilization in the open pit and make our fleet more efficient. Goldstrike will be implementing open pit shift change blasting also this month. Moving on to Nevada’s Q1 operational highlights. As two of our world-class assets now are working in a synchronized manner we are achieving strong production of 521,000 ounces, which was 5% higher than the combined in the first quarter last year. However, the production was due to higher grades mined and processed from Cortez Hills open pit, combined with higher throughput at the offside mill, as a result of our best-in-class and digital process improvement, as well as high throughput at the order class. First-quarter all-in sustaining cost of $694 per ounce was 19% higher than the prior year. As mentioned by Catherine, may increase in sustaining CapEx is due to the higher capitalized stripping combined with other sustaining capital projects. As you all know, Cortez will call and start Barrick’s digital transformation. Following the integration of Cortez and Goldstrike we have been able to accelerate the rollout of our digital mining solutions. We expect Barrick, Nevada’s 2017 production to be between 2.18 million and 2.26 million ounces and continue to expect all-in sustaining cost to be between 630 and 684 per ounce. I will now pass over to Henri Gonin, General Manager, Turquoise Ridge.
Henri Gonin: Thanks Bill. During the first quarter, we produced 55,000 ounces. Gold production for the quarter reflects a 10% improvement year-on-year. This was as a result of 26% more oil tons mine posted slightly by a 6% reduction in the mine today. We successfully initiated several best-in-class initiatives focused primarily on increasing productivity in the mine and improving overall equipment effectiveness. From a growth perspective, we have initiated the third shaft project and we are currently procuring services to complete the surface preparation work. We continue to expect 2017 production to be in the range of 260,000 to 280,000 ounces. We now expect the all-in sustaining cost to improve to $630 to $710 per ounce, compared to our original guidance range of $650 to $730 per ounce. Thanks and I would now like to hand it over to Greg Walker, Executive General Manager at Pueblo Viejo.
Greg Walker: Thanks Henri. [Indiscernible] started the year slowly relative to first quarter last year. Production was down 17%. This is primarily due to reduced tons mined and processed. This was also combined with lower head grade this year. This is attributed to lower open pit utilization and lower processing throughput, due to the timing of autoclave shutdown. The impact was partially offset by improved gold recovery up 2.8% to 90%. These timing issues will not impact the overall 2017 production; the side expects to reach the plan. Quarter one saw the side awarded ISO 14001 certification. This underlies their strong commitment to the environmental management. Mobile maintenance team continues to improve. In quarter one; they completed the first site overhaul of the primary shovel. The team did a magnificent job and completed this task seven days ahead of the scheduled time. During quarter one; we also finalized discussions with the government of Dominican Republic on two important matters. Firstly, the financial model, the budget, the 2017 and 2019 was approved and second was the IMT rate, which is the underlying tax rate for 2017 and 2019. These new rates were favorable to PV compared to previous rates. They are an excellent site to performance in quarter one with zero reportable injuries We also initiated critical control safety program around the critical response, but a particular focus was on the operation mobile equipment, which remains a single great source of instance for the site. We continue to expect 2017 gold production to be in line in the range of 625,000 to 650,000 ounces. We now expect the 2017 all-in sustaining cost to increase by $10 per ounce. The $540 to $570 per ounce, due to the delay in connection, connecting the Casale 1 power plant. Connecting to the power grid would be resulting in a lower than expected credits from the excess power sales. Thanks and I’d now like to pass it on to Jim Whittaker, GM of Lagunas Norte.
Jim Whittaker: Thanks Greg. The first quarter was indeed a challenge for the Lagunas Norte team and crew in general, with a dedicated effort by all involved it was up close quarter with production and cost with an expectation. The 150 year weather event devastated many low land areas improve and disruptive supply lines of FEMA to the mine site via logistic center in the coastal city of Trujillo. Our teams where diligently through the highway closures, the loss of the tower on a principal power line and insisting our families and neighbors with emergency shelter and equipment food steps and monitory support. We had no reportable personnel or environmental instance during this period. Sustaining project development continues on track focused on the solution injection, revenues saw a separation projects both to be built and implemented this year. The future plant expansion project to employ milling, DIO, floatation and petro oxidation processing is at final feasibility. Guidance for production remains unchanged in the range of 382,000 to 420,000 ounces and we now expect the all-in sustaining cost to be in the range of $542,000 to $600,000 due to improvements in the scope and timing of capital expenditures. Thanks. And I will now pass the discussion to Jorge Palmes, Executive General Manager at Veladero.
Jorge Palmes: Thanks Jim. First-quarter production went up 151,000 ounces, or 14% above the first quarter of last year, mainly reflecting the higher grades of funds raised on the leach pad and annual medical plan maintenance. Cost of sale per ounce was in line with the prior year hybrid action on sales offsetting the increase in direct mining cost. These costs were primarily related to labor consulting and contractor due to the inflation in Argentina. It will be fully affected by the deterioration of the Argentinean peso. First quarter all-in sustaining cost were $890 per ounce, an increase of 32%, compared to the same prior year due to the higher sustaining capital expenditures related to the construction of Phase 4B and 5B of the leach pad. Our integrated remarks preparation centers or iWork is working on a temporary basis and we expect it to be fully implemented by others and is helping us to benefit from the monitoring of an integrated operation. We have already seen an increase of 5% in production. For the full year 2017, we now expect production to be in the range of 403,000 to 480,000 ounces. The reduced production is primarily attributable to as Kelvin mentioned earlier, anticipating sales of 50% of the mine from Shandong Gold, our strategic partners of Veladero and potentially the Frontera District. Their revised production guidance also assumes the reception of normal processing activities at Veladero mine in June such is some prevention down in approval of proposed modifications to the modest operating season and other related commitment. Cost wise we now expect 2017 all-in sustaining cost will be $890 to $990 per ounce. I would like now to hand it back to Kelvin for some closing remarks.
Kelvin Dushnisky: Thanks Jorge. Let me end with the highlights of our progress for the quarter. We continue to generate significant cash flow. We formed partnerships that can provide tremendous opportunity for our shareholders and we are especially enthusiastic of what the future holds for us together with Shandong Gold as they become integrated in Veladero and potentially included in the highly prospective Shandong Gold. Our debt reduction strategy is on track and we are making great progress on unification and digital transformation of Barrick, Nevada. Just before we go to Q&A, I want to mention for those interested that we will be hosting a sustainability briefing webcast on May 9 and as Richard indicated, I would also like to remind you about the Nevada mine tour we are hosting on June 20 to 21. So with that, let’s open the call for Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] First question comes from Andrew Quail of Goldman Sachs.
Andrew Quail: Good afternoon guys. I just got one question. You guys obviously, I think Richard you mentioned that you were 2% below your budgeted guidance internally for gold production for the quarter, can you give us some context or some guidance of what we expect for the next three quarters as you sort of weighted production, just for the straight estimate model?
Kelvin Dushnisky: Andrew it is Kelvin. I guess the starting point as you know, we don't guide quarterly and the reason is things tend to change through the year, particularly as we try and improve on our plan to continue to improve initiatives, but having said that I can tell you that the production in the first and second half of the year are relatively similar. Q1 was always scheduled to be our lowest production quarter that gives you a sense direction how the rest of the year will look.
Andrew Quail: Okay, so, Q2 is going to be okay for you guys and have guys kept your right guidance on charge?
Kelvin Dushnisky: Correct.
Andrew Quail: Well, sorry, you trimmed it for the Veladero. Okay, thanks guys, it is all I needed.
Kelvin Dushnisky: Thanks Andrew.
Operator: The next question comes from Kerry Smith, Haywood Securities. Please go ahead.
Kerry Smith: Thanks operator. Kelvin I am not sure who could answer this, but you had an application in to approving the lease pad expansion of Veladero does that whole expansion approval get impacted by what is going on there now are they two separate approval processes?
Kelvin Dushnisky: You are referring to pages 6 to 9 Kerry, I am going to turn that over to Richard to comment.
Richard Williams: Yes, you are right Kerry. Just come back up from Argentina and let's clarify the approval processes. In terms of the ability to get cyanide moving back into the system, we are sitting and engaging literally as we speak with the authorities going through multiple point plan. As I outlined primarily focused on ensuring the integrity of the leach pad is a stand at which everybody is 120% happy with. Now that’s moving along pretty well actually. And so what we are expecting is the approvals for that to move on time and allow us to get to a point where we're putting cyanide back in and cyanide outlined earlier. So that’s process one.
Kerry Smith: Right.
Richard Williams: Process two, which you referred to which is getting a mission if you like to get the Phase 6 to 9 expansion is moving also exceedingly well. The two themselves are not connected. However, the way in which we approach, engage with the Argentinean authorities we see this as a strategic partnership. So consequently the way in which I like to discuss it with them is everything starts with getting our existing leach pad to a standard that we are all happy with and then from that everything else flows, but again to reassure you the discussions on Phase 6 to 9 have gone exceedingly well. We think the plan is great as do the authorities we have been speaking to, but we have discussed this in the realm, as you would expect at a time like this.
Kerry Smith: Okay. And is it possible to put a rough bracket on the capital cost that might be associated with the proposals that you are providing for the restart here on step one?
Richard Williams: For the restart, okay. The way in which we expressed this, you may have seen a bit of it is that we look at, we put a commitment to around about half billion dollars of sustaining capital over the next five years. The actual costs of getting the re-engineering done contained within that has been a little bit of the reallocation of cost that you like within the sustaining capital to ensure its focus on the level and standards of engineering that we need to do. Of interest with respect to the pipes that - the famous pipes that we are dealing with serious as they are. We had a plan in place fully engineered and permitted to move those pipes and that permitting process was complete by 31 March. So one of the reasons that we can move so quickly, we have the material in place, we have the engineering plan in place, we have the people on site now working with it and always seeking to do is to clarify the authorities, the existing plans that they have approved is exactly what they wanted to be, and ensure that the additional containment in the places where they are absolutely essential plus other things, other belts and braces that they are content with. So really the way in which you should look at this in terms of incremental cost from a technical sustaining take of the Seattle, if it is contained within the $500 million sustaining capital plans. However, in addition to this there is investment that we intend to make over the long term with our partnership in San Juan is long. In areas of training, education, capacity building in terms of the human labor force. At the moment we are looking at this in detail because clearly one of the elements of our go forward plan is to ensure that both the supervisors and the operators and all those operating on the mines not operating at the standards that we would like them to be. So we are jointly investing in this in terms of time and facilities and you will see that there will be a small incremental cost in terms of CSR spend, if we call it that, but again that will be contained within the $500 million.
Kerry Smith: Right, okay. So just so I am clear. The cause for this remediation is, this $500 million number you're quoting was really the sustaining CapEx you had in the plan for the next five years and there is an incremental cost to do the work you are talking about now, which is not modest, which is not material or relative to the 500 million numbers what you are saying?
Richard Williams: That's right.
Kerry Smith: Did I understand that correctly?
Catherine Raw: I just want to clarify, our guidance is our guidance, so when we look at our 2017 guidance we expect within. So what we are talking about in terms of the remediation work community spend et cetera, a, this is over a period of time and it is also a lot of it is part of the plan as we originally intended that we need to clarify in terms of making sure the Argentinean authorities understood and when Richard talked about that incremental community cost, you know this is small dollars. This is not a significant impact on ASIC or the capital spend at Veladero. In fact I don't think you would even come-in in capital you will see it in your cash cost of them.
Richard Williams: To give you a specific, it is important because it is interesting. So give you and having just come back, I think give you for instance in terms of the type of efforts that are going into Argentina, which were always part of the plan that we are basically highlighting them and putting additional focus in. We will be the remote operating sector, which we have taken the models from Nevada and we have brought in to Argentina. Secondly, as our gold mine, the gold mine which is very successfully producing software applications leading to better short interval control and a range of other methods in Nevada that you will see, should you come in June we are also seeking to do exactly the same thing in Argentina. So that we are building again the same relationship between if you like academia, the computer science as element of San Juan University and also as our operators to end with our Argentinean contribution with the digital design. And in addition to that and it was why I highlighted it on the slide, forgive me it is why we put a slide in here about talent development. What we are seeking to do across the whole Barrick portfolio as other companies are doing and it is not - it is self radical, it is highlighting the focus we have on it. If we are thinking to train our people in ways that make them surely the most excellent in the modern digital era, and again we are focusing on doing that in San Juan, and in doing it in partnership with the San Juan authorities themselves, constitutionally reporting to the governor, we are doing in ways to ensure as the development partner both are yielding the maximum benefit point. And the other point, apologies because it is so important the other point on this when we are discussing with the Argentine authority, you should have noticed there is obviously been a very big change for operations down there in bringing Shandong in. The engagement of Shandong as Kelvin has outlined has been done over a longer period of time and they are been selected as a part. There has been a selection process to this. And they have been selected because they are technologically really advanced. Their environmental track record is also exceedingly good. And their commitment to community and individual development within their operations in - not just within Shandong province itself, province of 100 many people is quite exceptional. And when being down there and engaging with both the Argentinean authorities and Federal or prevention level and our own workers with Shandong alongside we have all been struck, but actually we have got ourselves a partner here. In many respects, it is going to help us collectively raise our game to some being more familiar value of the parts. So it is a pretty, and now we are into a challenging position and we are discussing this with the Argentinean authorities, but again not wanted to add any sting to that. The fact of the matter is we have got a great partner and we are in conversations with the Argentinean authorities in ways that we end up with quite a robust plan.
Kerry Smith: Okay great. And Catherine one last quick question, what would the approximate gain be on the Veladero sale if it goes through at the 960 million?
Catherine Raw: Of the Veladero sale?
Kerry Smith: Yes.
Catherine Raw: We have not provided that guidance, but it would be a few order of $600 million.
Kerry Smith: Okay perfect, thank you very much.
Kelvin Dushnisky: Thanks Kerry.
Operator: The next question comes from David Haughton of CIBC. Please go ahead.
David Haughton: Hi there Kelvin and team thank you very much for the update. I was listening to Greg Walker go through the PV update and he had mentioned something that was interesting as the revision to the tax rates, perhaps you can give us a little bit of detail as to what those tax rates are because you had mentioned our beneficial?
Kelvin Dushnisky: David just I am going to turn over to Greg, just to be clear, he was referring to the annual minimum tax, not the overall tax rate and you recall the special lease agreement we haven't placed in PV space to stay in effect as it is. The annual minimum tax is what came up for renewal in 2017 over a three-year occasion, so you can compare to that.
Greg Walker: Thanks Kelvin. Yes as Kelvin said the negotiation was INC, which is the annual minimum tax and overall the tax rate is sizeable and is in a benefit for the next three years. We don't expect it to come into play, so instrumentally it won't have any effect on our tax. The only time it will come in place is there was a particular hick up for the operations in place. So, it is a site [indiscernible] tax for the government rather than anything else. I must say the discussions we had with the government were excellent. Our relationship with the Dominican government in the past was not always great, but I must say that these negotiations were very good relatively quick. We put forward our plan, they came back with proposed changes and within a matter of days we spotted those out. The discussion was good, the partnership with the government is in a good position at the moment.
David Haughton: It is good to hear that it is a healthy relationship. I understood that there were two parts really to - the tax rate you got 25% tax rate and then you got effectively a net profit interest that goes to the government and you had waived a carry, so that the government could participate early that carry was to get back in to give you some shelter from the NPI this year and into next year, and I am wondering what the status is for that?
Greg Walker: Yes you are correct. The amount, it is favorable to us for the next three years, but I don't have the exact numbers to give you on hand, but you are right we do get a favorable kick from the deposition over the next couple of years, next three years.
Catherine Raw: So David this is as planned. This effectively what you are saying is we are now able to depreciate that is as agreed. So, just as with the original SALs everything is moving smoothly and these changes have gone through smoothly.
David Haughton: Okay, and similar to Kerry’s question on gain on sale from Veladero, with Cerro Casale I presume that the right back of the previous impairment kind of reflects the sale price, so does that mean that there would not be a gain or loss on sale of the stake in Cerro Casale?
Catherine Raw: So, the impairment reversal factors in the majority of it. The one thing it doesn't factor in is on the net controlling interest and the impact that, that sort of new valuation with that. So you will see some noise on close of that deal probably in our second quarter results, but yes effectively this reversal does factor in the sales price associated with that.
David Haughton: All right, I will leave it there for now. Thank you, Catherine.
Kelvin Dushnisky: Thanks David.
Operator: Your next question comes from Steven Butler of GMP Securities. Please go ahead.
Steven Butler: Thank you, operator. Question for Jim Whittaker I guess, Jim on Lagunas Norte you talked about obviously the heavy rains we are all aware of that improve causing rail closures and power outages, and obviously with the production numbers weren't too bad from Lagunas Norte would you expect your production numbers to be fine going into the second quarter or is it often the lag in impact from rain fall on the heat leach pads, I am just wondering how you feel you're starting out in the second quarter Lagunas Norte and indeed was there anything that really materially affected the ability to staff because it talked about real closures and power outages, but we are actually limited at site to stack materials because of rainfall perhaps somewhat?
Jim Whittaker: Thanks for the question. The major fix at the sale, it started with logistic problems on the coastline and that is obviously - was an issue because it has limited our ability to meeting people and material resources from the coast to the mine site. And at the same time we are having problems with power on our power lines. Both these issues were taken care of both time and actually we are out of the wet piece [ph] now we seeing quite a bit more drier climate, but that will continue until the end of this year. The major losses that we have seen through the month of March was due to when we were switching from mine power and generated power. And that caused a reduction in our ability to be able to pump liquid through the heat leach. So, in summary, the mine's ability to move materials from the mine to the heat pads is not effective, but our ability to move solution through the pads was effective. We are currently running around the middle of our guidance and we do not expect that to change to the remainder of the year.
Steven Butler: Okay. Thanks for that Jim. Thank you.
Jim Whittaker: Thanks Stephen.
Kelvin Dushnisky: Operator I understand there is no more questions. So just before we leave, I would like to thank everybody very much for joining us today. We hope that we will be able to - some of you will join us on our sustainability call and the others join us on the Nevada mine tour in June and otherwise we look forward to updating you on our progress again on our Q2 call. So, thank you very much.
Operator: This concludes today's conference call. Should you have additional questions, please contact Barrick Investor Relations Department. You may now disconnect your lines. Thanks for participating. Have a pleasant day.